Mark Kociancic: Thank you, Ian. Good morning, everyone. Denis Kessler [indiscernible] reports simple message to the Group for bringing by combining profitable growth on equity [Indiscernible] Slide 3, let's start with the expansion of the franchise. SCOR delivers an excellent growth on gross written premiums of €7.5 billion in the first half of 2017, up 10.1% at constant foreign exchange compared to H1 2016. This is driven by the strong contribution of our two business engines. SCOR Global P&C continues to grow its franchise in the U.S. in line with the Vision in Action's plan. P&C division pursue its selective growth with stable pricing, as s witnessed during all of its renewal since the beginning of the year. SCOR Global Life, pursue its expansion in Asia-Pacific both Protection and Financial Solutions, and continues to deliver a strong track record in U.K. Longevity reinsurance. SCOR records net income of €292 million for the first six months, resulting in a 9.1% return on equity. Including the impact of the change in Ogden and the reserve release associated which were fully accounted for the first quarter of 2017. First half 2017 net income would have stood at €350 million. And our return on equity at 10.9%. Solvency position of the group remains strong at 226% and remains for the present time above the optimal range. As announced earlier today, SCOR has commenced the share buyback program with an amount up to €200 million over the next 24 months. Buyback reflects the Group's confidence in the underlying fundamental. We can self finance the present and future growth. We can self finance during increasing dividend. We demonstrate good profitability and a robust Solvency position. This buyback also supports in fact SCOR's value proposition for shareholder remuneration in the track. Moving to Page 4, I'd like to emphasize that both Life and P&C are performing very well and are delivering strong technical profitability in 2017. P&C combined ratio stands at 93.5% and the Life technical margin is at 7.1%. On the investment side, the asset allocation changes that we implemented in the investment portfolio have been rewarded in terms of yield. And we are well positioned to take advantage from any upside in interest rate, especially in the United States. SCOR Global Investments is delivering a solid return on investment assets of 2.7% this quarter, in line with 2.7% to 3.2% range indicated full year 2017. [Indiscernible] will confirm later on. Turning to Page 6, despite of net income of €292 million in H1, shareholders' equity decreased over the first half of the year to €6.4 billion. And the reduction comes from the 308 million dividend payment in the second quarter and a negative 333 million currency translation adjustment, primarily due to the weakening of the U.S. dollar in the first half of the year. This translates into a book value per share of € 34.09 at the end of June. Financial leverage stands at 25.2%, marginally above our assumption, but we do expect it to come back under 25% level before year-end 2017. Let's move on to Page 7. We are in line with our expectations and SCOR generated operating cash flows of 328 million for the first half of the year. SCOR Global Life cash flows have shown some catch-up since the first quarter as expected, but still reflect claims payment and retrocession settlement timing differences. Cash flows are expected to normalize in the second half of 2017. On the SCOR Global P&C side, cash flows continue to be strong and in line with our expectations. The total liquidity of the group stood at € 1.8 billion at June 30 with the rebalancing of the investment assets having commenced. Now, let me hand it over to Vector, who will give you more details on the P&C result and the June, July renewals.
Victor Peignet: Thank you Mark. And good morning. As you can see on Slide 8, if you remember the comments that were made when the Q1 results got published. Q2 and H1 are right in line with what we had anticipated that would be. On the top line, write-off growth is lower and what it was reported at the end of Q1, but it still benefits on the effect of the large proportional contracts that were underwritten in the second half of 2016. It is no surprise that the geography of the growth is dominated by the U.S. The three components of the business being P&C treaties, specialties and business solutions are contributing to the growth. I'm now going through the June, July renewals, can indicate that the growth for the full year could be in the region of 7% to 8%, however with the subjectivity of what the impact of the weakening of the U.S. dollar against the euro will be. The bottom line at 93.5% the H1 net combined ratio remains excellent and as is illustrated by the normalized net combined ratio and the non-cat net technical ratio, this is not only -- thanks to the favorable cat ratio. Normalized net combined ratios and 94.7%, the H1 non-cat debt technical ratio, which is the sum of the net attritional and the commission ratio, this stable year-on-year when excluding the impact of the changing the Ogden rate, which was fully taken into account in Q1, this demonstrate that the quality and the performance of the portfolios are well managed and maintained. Along the same line, it's also worth mentioning that the net combined ratio for the first year of Vision in Action normalize our net pattern Ogden and at 94.5%, in fact that the normalized net combined ratio of Q2 ends at 95.4%, is the reflection of the present reserving approach following the reserve release of Q1 and due consideration given to the low quarter, low net to be low quarter net debt. As far as the June and July renewals are considered. Our main features are shown on Slide 9. These renewals have been negotiated in market conditions that has basically stayed the same since January and April. But for the reinsurance market for causality lines in the U.S. at the P&C Life bottom. Most noticeable measures have been in the portfolio management actions that was taken to the U.S. within the property segment and in particularly on Florida. I'll now hand over to Paolo for the presentation of the Life Global.
Paolo De Martin: Thank you, Victor. I'm pleased to report the sort of a like to, we were stronger first half year of 2017, both in terms of premium growth and profitability. We have recorded growth written premiums €4.4 billion, representing an increase of 9.7% at constant exchange rate, 11.9% at current exchange rate. Excellent growth, the results of robust new business flow across all our product lines [technical difficulty]. Particularly in Asia-Pacific one of our key areas of growth Vision in Action [technical difficulty] for the growth written premium growth of around 40% [technical difficulty]. Looking ahead to the end of 2017, we expected growth for the divisions normalize at around 6%, in line with the top line of Vision in Action annual premium growth. Technical performance for the first half of the year remains stronger, technical margin of 7.1%, slightly above Vision in Action. We've been able to deliver these technical margins, thanks to both the profitability of our new business, under written in line with the Group of [technical difficulty] targets as well as the healthy performance for the Group. The addition to the quarter financials, as announced with our press release of July '17, SCOR signed an agreement with Federation nationale de la Mutualite Francaise and Matmut with the view to the acquisition of 100% of the shares of MutRe, ratification of the agreement by MutRe's other shareholders [technical difficulty] in September 2017 [technical difficulty], this acquisition though unable support further strengthening its life and health offerings, [technical difficulty] despite to this point the acquisition flows [technical difficulty]. I will now hand over to Francois de Varenne, for more details on [technical difficulty].
François de Varenne: Thank you, Paolo. Moving on to Slide 11. SCOR's total investment portfolio reaches €26.7 billion at the end of June with the invested asset portfolio of 18.3 billion from the 19.4 billion at the end of March. This decrease is finally due to the evolution effect rate and notably the weakening of the U.S. dollar against euro as well as through some cash outflows including [indiscernible] dividend that happened during the quarter. Our next key phase of portfolio rebalancing executed during the first quarter of 2017. SCOR Global Investment decided to put temporarily reinvestment on hold, during the second quarter of the year. Indeed, this quarter was marked by more [indiscernible] of economic and political environment as well as a low value of rates during the most part of the quarter, when compared to [indiscernible] levels during the first months of the year and which enables us to bring this at very good condition. In that context, our liquidity is slightly reduced 9% compared to 10% at the end of first quarter, meanwhile, our exposure to government bonds and assimilated, increases by points compared to last quarter, mostly at the expense of our corporate bond portfolio down 3 points compared to last quarter. The duration of the fixed income portfolio was slightly decreased at 4.5 years, level compared to end of 2016 level, 20 below end of March. Our fixed income portfolio remains a very high quality with an average rating of A+. At the end of June, expected cash flows from the fixed income portfolio over the next 24 months stand at €6.2 billion, which will facilitate the dynamic management of foreign investment policy as market conditions permits. Global Investments deliver 2.7 return on investment assets in the first six months of this year. Besides, our income continues to increase [Technical Difficulty] for the first six months and second quarter of 2017 while our re investment grade stands at 2.6% at the end of June, 2017. We confirm of 2.7% to 3.2% estimated range for the full year of 2017, according to current market conditions, this return should benefit in needs from highlighted gains and included the sale of MutRe real estate building that should be completed before the end of October. Finally, let me take the opportunity to remained that SCOR has published its ESG report on investments a few weeks ago, which is the testament of our commitment for our ESG policy. With this I would hand it Ian Kelly for the conclusion of the presentation.
Ian Kelly: Thank you, Francois. On Page 12, you will find the next scheduled events [Technical Difficulty] as well as all the conferences which we are planning to attend over the remainder of 2016. With this, we can now start the Q&A session. I just remind that the [Technical Difficulty]
Operator: Thank you. [Operator Instructions] We will now our take first question from Vinit Malhotra from Mediobanca. Please go ahead.
Vinit Malhotra: Yes, sorry, this is Vinit from Mediobanca. I just want to understand two things. One is the duration of this buyback which is just been in focus this morning. Could you comment a bit Mark on how you, what was the thinking behind announcing a two year frame of reference of this buyback. And Second question is just on the normalized combined ratio that was mentioned by Victor that those deserve after [indiscernible] if you like in 2Q, is this run rate, we have to, we should kind of expect for the rest of the year in the sense of your action plan increasing this deserve or is it nearly they're now -- I'm asking because last year 2Q also had the phenomena, but then it come down in 3Q and 4Q. I just want to understand. Thank you.
Mark Kociancic: So on the first question for the buyback duration. I think the 24 months represents probably a more conservative figure and then we might anticipate actually executing -- I'll see any reason why it couldn't be executed sooner than the full 24 months duration, it gives us some degrees of freedom in case, any kind of uncertain events were to happen in the marketplace, but I would expect something to occur on more timely basis with respect to buyback. Victor on the second question for combined ratio.
Victor Peignet: Well as I said in my comments we're as -- in a situation where Q2 is having a very low net cat ratio or it follows Q1 during which we've made reserve -- so we've adopted a very prudent approach of the reserving in Q2 as with that sort of 94.5% we are still below 95% on the normalized for H1, we think that we have done what we had to do protect the rest of the year. So for me, the run rate of the portfolio today is below 95%.
Operator: We can now take our next question Guilhem Horvath from BNP Paribas. Please go ahead.
Guilhem Horvath: I would have two. The first is on the buyback and I'd like to consider the case where you have a normalization in terms of top line growth. And what would be in your view to -- your solvency ratio at the end of this year because that's the target you have in terms of top line growth and in 24 months period? Would you still be above 220% in your central scenario? And if the capital generation is higher than expected today, would you consider increasing this total 200 million -- up to 200 million announced? So this is my first question. And the second question is Francois, can you maybe guide us for realized gains going forward, that's not only 2017 but for the years to come? Are you expecting something to change on this side? Thank you.
Victor Peignet: Thanks, Guilhem. I'll ask Frieder to handle the first part on the solvency ratio evolution. Then I'll speak to the level of the capital. Frieder?
Frieder Knüpling: Okay. Solvency ratios are obviously more volatile than other accounting statistics or interest rate movements, market movement in general, order changes that used our current best estimates, assumptions so on, make them more volatile. So one point estimate I think is difficult and is going to be wrong in any case. Having said this, the underlying trend of our solvency ratio has been good in the past two years. The operating performance and capital generation has been more than sufficient to fund regular dividends and the increasing capital requirements. And as far as market volatility is concerned, the biggest sensitivity of our solvency ratio is through interest rates. The group is generally expecting interest rates to increase further. We are well positioned to capture this. So that can provide a further upside. But as I said, there is going to be some volatility around this on a quarterly basis. But based on fundamentals, which should support our solvency position and full in line with buyback program.
Victor Peignet: With respect to the 200 million level, that's something we identified firmly in 2017 as the level of excess capital we were prepared to address with respect to a share buyback. So I don't see that changing with respect to this program. However 2018 is a whole new year. So we'll see what happens the year from now with respect to that time frame. Francois Varenne you like to [indescribable]
Guilhem Horvath: Just a follow up on this one. I think you said that full year but you wouldn't intend to remain above 220% solvency ratio. Is this -- if the case, the optimal range is below 220% right?
Denis Kessler: We would like to remain in the optimal range. However if we are marginally above, we have to take into account several factors, not the least of which is the volatility that Frieder spoke about that we are subject to. And then the second thing is the evolution of the business plan, operating plan for 2018 which could also require additional capital to support it.
Mark Kociancic: On the realized gains, so I confirm that -- I am confident that we will -- we are in the process of selling a building -- a metro building in Paris and the sale should be completed before the end of this year which should be more a Q4 event. Going forward for the next [three years], if you move to Slide 39 in the appendix of the transition, you have got unrealized gains analyzed on our portfolio. And you see that we have a [investment] of 457 million at the end of June, an increase by an amount of -- almost 60 million compared to the end of this December last year. Despite the fact that we took the [58 million] in the first six months of gains on this portfolio. If you look closely, you will see that on the fixed income side, we are -- let's say, almost nothing less that the significant portion of unrealized gain on equity real estate and other investments, so which mean on asset classes where we will get gains when they recognized under performance in the value creation as since inception. So yes, we have a significant portion to maintain or policy [indiscernible] gains by the end of.
Operator: We can now take our next question from William Hawkins from KBW. Please go ahead.
William Hawkins: Thank you, very much. Mark, so I just back on the buyback, given that there is this 24 months time period and not taken what you said clearly. Are there any fungibility constraints that you guys have on getting capital into the center and then distributing it, that we may not have talked about in the past. But we know your solvency ratio is very strong in all the rest -- so I'm just wondering if one of the reasons you said in conservative time line is just related to cash flows around the Group? I don't think so, just checking. And then secondly, Paolo your IFRS Life earnings, I think you were doing about 190 million both first half this year and first half last year on Slide 16. Could you give us a number, so what is the impact on your pre-tax IFRS earnings from the new business you have written this period in first half '16?
Mark Kociancic: Thanks, Will. With respect to the buyback, there aren't any cash flow constraints with respect to the 24 months period. I think that's more consciousness in terms of external events that may impact the Group but I wouldn't read too much into the figure. I think in a normal situation, you'll see us execute sooner than that. As you know through the IR Day presentations that we've had before, the fungibility of the Group is really quite good. We have a strong set of subsidiaries in major countries, advanced economies with strong currencies and we have a fairly diligent dividend program internally within the Group and the ability to raise cash is of no concern at all to us at this point.
William Hawkins: I'm sorry to speak, [indiscernible] when you talk about external events, you are talking typically about capital markets and large losses or anything else? Right?
Mark Kociancic: Yes. I think if you were to look at an extreme not-cat, if you would have a Japanese Tsunami or something like that or something even bigger, that's really what we're discussing here. On your second question, with respect to Life earnings and the new business, pre-tax run rate, Paolo?
Paolo De Martin: It's about 40 million.
Operator: [Operator Instructions] We can now take our next question from Andrew Ritchie from Autonomous. Please go ahead.
Andrew Ritchie: Hi, three quick questions. First of all, for Francois, your reinvestment rate went up 30 bps in the quarter. Despite the fact that the benchmark you all [indiscernible], your duration reduced, you sold corporates and corporates spreads have ever benchmark or [indiscernible] all spreads pretty much tightened 10 to 20 basis points. How come you reinvestment rate went up 30 bps? Maybe just clarify was that spot through investment rate and not indicative of the average reinvestment rate over the quarter? Second question. Mark, you mentioned that you expected the leverage to be below 25% by the end of the year. I'm assuming that's just because I assumed growth in equity, do not indicating any redemption of any debt. But maybe on the point of this leverage, I mean you're clearly above your target since Solvency II but this is the actual constraint, isn't the fact that you are kind of at the upper end of your target leverage or results. Now how I think about it? Thanks.
François de Varenne: First question on the reinvestment rate. I come back on Page 11, no its 5 on the definition of the reinvestment rate. So again that's the picture the last day of the quarter. On the fixed income loans and real estate business of reinvestment rate at -- not the duration of the portfolio, but the majority of the securities we target especially in fixed income portfolio. If you look at the evolution of the 10 year history rate between the end of March and the end of June, we have an increase of almost 20 basis points, almost everywhere. That's the case in the U.S, that's the case for almost 18 basis points in the UK And in Germany, that's 21 basis points. So you have any increase, if you take just the picture end of March, last day of March, last day of June under risk-free components, you have an increase of interest rate in the magnitude of 16, 20 basis points depending on the currency. On the spread, we have almost a stable effect and we have a small duration effect in our competition. Not the duration of the portfolio, but the average maturity of the security we target.
Andrew Ritchie: Sorry, you are not investing of the 10 year end and you are not really investing in governments. So, what is the average duration of the new investment mostly average rating?
François de Varenne: Usually on the corporate bond side, we target 10 plus years and same seeing on [indiscernible]. And it will be a little bit stronger on [indiscernible].
Andrew Ritchie: You're investing new money at 10 years?
François de Varenne: Yes. Or above.
Andrew Ritchie: Well, if I say the average reimbursement rate would have been materially lower over the quarter?
François de Varenne: No, again this is not an average of the quarter. That's again the feature at market condition on June 30th compared to March 31st.
Victor Peignet: Andrew, on your second question with respect to the impact of leverage. I do expect it to reduce below 25% just through the effects of retained earnings that are being captured or generated from the net income that we expect in the second half of the year. So that's a normal evolution. I don't look at it as a constraint at all on the buyback. We over the last 18 months, we've had two significant hybrid issuances that were fairly opportunistic where we captured coupon rates of 3% and 3.58%. So we secured long-term financing at a very attractive conditions and that's what elevated the leverage ratio towards the upper part of that 20% to 25% range. And I think we need 25% to execute Vision in Action, but because we were able to lock in this kind of opportunistic low cost financing. This sets us up real well for the next 10 years. And that's the reason we put on a little bit more debt and I don't view it as a constrain. With respect to falling any debt or anything like that there is certainly no announcements for 2017 on the debt front.
Operator: Thank you. [Operator Instructions] We can now take our next question from Kamran Hossain from RBC. Please go ahead.
Kamran Hossain: Three questions. Firstly on the mid-year renewals. Just give us an indication where you've grown in the UK at the same as up 11% in EMEA and is there in UK mostly. Secondly, in terms of the message of the Monte Carlo this year to client. Can you maybe give us a bid of in advance on what that would be, whether that's the continuation of previous years messages just given the buyback.
Mark Kociancic: First of all, the growth of UK you are talking about is in single-digit millions, for the division it is going to be material. It's not a motor UK there is a slight growth in the motor UK but it's not there, it's much more on the liability. We have beefed up our underwriting capabilities in London recently on the liability side, and it starts to pay off. So most of the increase is coming form 5 or 6 new contracts on the casualty side and in the UK
Frieder Knüpling: On the Monte Carlo message, I think Victor will speak to P&C growth expectation during the IR Day coming up in early September. But overall we've got strong fundamentals right now in the business. I think you can see that in the first half technical metrics for sure. I mean the growth rate of both Life and P&C is on the higher side of where we expect the assumption to be, the technical profitability, combined ratio and technical margin is quite strong, and we were able to absorb the Ogden impact. I think you would have seen stronger earnings in the second quarter, if it wasn't for some tax anomalies that we had in the distribution that the profitability we could have very well been in the 165 million to 170 million range for the quarter to date earnings of Q2 instead of the 153 million. So that message I think is still resonating quite strongly within the group, and you'll see us discuss that a little bit more in IR Day and also on Monte Carlo.
Operator: We now take our next question from Jonny Urwin from UBS. Please go ahead.
Jonny Urwin: Good morning. Thanks. Just two questions for me. So firstly around the deployment of liquidity in the investment portfolio. I know that you've obviously stopped redeploying the sort of cash and sort of investors but what needs to happen from here for further deployment or indeed for you to perhaps increase that liquidity level? How do you think about the sensitivities? And secondly on the Solvency II ratio, I mean you're saying that you're marginally above the target range of 226%. How do you define marginally above, I mean, if we were looking at 230% today, would you still be marginally above? I am just trying to get an idea of the -- the buffer above the 220% that you're thinking about holding? Thank you.
François de Varenne: On the reinvestment of liquidity and the rebalancing of the portfolio to what, let's say, the Vision in Action, you look at the portfolio that we still maintain or we'd not -- and the redeployment of this liquidity. But if you look at what we did in the last summer, I will give the full update during the Investor Day in September. We are very active in September, October last year. Then we pushed the rebalancing strategy with the uncertainty of the U.S. election at the end of the year. We were very active and we locked interesting level in Q1 due to the political uncertainty and also the uncertainty on soft haul banks. We pushed the gain in Q2 and we should assume the rebalancing strategy probably during [Indiscernible] The economic environment is improving. So we are confident.
Jonny Urwin: And there has been no major action in July so far?
François de Varenne: It's too early to comment.
Frieder Knüpling: On the second question on what is marginally above the optimal range, so the 226% is our best estimate right now second quarter. Does not reflect the impact of share buyback and that could be up to five solvency ratio points probably just under that when it's fully executed. But I think there is a lot of factors that go into the capital management decision. It's not just what is the number of the solvency ratio. It's also the fundamentals of the business. What are you going to be doing in the following years in terms of your operating plan, supporting growth and what are the prospects for volatility from macro factors. So if we're in that 220%, 225% range, that's certainly marginal. I don't think that's going to force a decision just on the basis of that ratio. If we start to approach, I think the 230% number, there is clearly more Solvency margin at our disposal that we would have to efficiently use. And if we can't do it, then we're looking at an excess capital decision. The other point to take into account. We do look at this over a medium-term time frame. So it's not just a one quarter or one year horizon in terms of our capital utilization.
Operator: [Operator Instructions] We can now take our next question from Frank Kopfinger from Deutsche Bank. Please go ahead.
Frank Kopfinger: Good morning, everybody. I have two questions. My first question is on your tax rate and apologies if you commented on it in the beginning, I missed it then, could you comment again on the [indiscernible] behind this higher tax rate in Q2 my understanding is that from one side, it's coming from the dividend income that you regenerate it? But there have been also some one offs. And my second question is for Francois. Could you remind us on the realized gains that you expect to come from this real estate disposal by year-end?
Denis Kessler: Okay. Frank on the first part with the tax rate. I think we had 2 significant drivers. One was what we historically have in the second quarter, which is the withholding taxes that are applicable to the external dividend payment, you'll remember that there is 3% tax charge in France for the external dividend. So that's a little lower €9 million of P&L effect. Plus, we also have withholding taxes applicable to the internal dividends that are generated globally amongst certain subsidiaries. So that on its own is roughly 13 million to 14 million of tax of P&L, bottom line tax effect. Addition to that, what we did not expect this quarter was really the geographic distribution on both Life and P&C of their profitability. We tended to have, this from a big picture point of view, we tended to have more of our profits and higher tax jurisdictions and more of our losses in lower tax jurisdictions, which led to this elevated rate of just over 30% for the quarter. So I don't see any of this is reoccurring and I think the withholding taxes well known as an annual issue for us and we'll see how long this 3% tax this outstanding given some of the recent activity in the legal system and its impact in France. Francois on the gains.
François de Varenne: On the gains. [indiscernible] but according to. So we are in the self process of a MutRe building in Paris and then considered that this sale should be completed before the end of the year and should be it Q4, Q4 impact, and the gain going forward, if you look at appendix from Slide 39, they have significant good sale of unrealized gains, and loan yielding assets such as equities, real estate and other investments. So I'm confident on the fact that we will maintain our contribution through realized gains towards the plan.
Frank Kopfinger: Okay. But the magnitude that we saw last year, this could also be ordered to expect this year?
François de Varenne: For the full year and maintain range 2.7%, 3.6 % of the total yield on the investment.
Operator: We can now take our next question from Thomas Fossard from HSBC. Please go ahead.
Thomas Fossard: Yes, good morning. Two question for Victor. The first question would be on the UK motor side, now the situation is starting to stabilize. How you started to engage discussion with your clients and what could be potentially the opportunity SCOR is next six to nine months on the U.K. motor, that is the first question. Second question is [indiscernible] introductory comments, you have described the current situation of the U.S. casualty, could you just maybe rephrase and at the right time, what is the situation, what is the situation currently and what's your view going forward? Thank you.
Denis Kessler: Well I wouldn't say, myself that the situation on UK motor is stabilized I think everyone is waiting for the outcome and, the next step which is basically, whether or not this minus 0.75 will stand, what's going to be the situation then what's going to be the formula so I think for the moment, and we are still within the uncertainty. Regarding the renewals, we have renewed with existing plans with the price increases, have been probably putting us in an equivalent often realistic 0.5% to 1% equivalent discount rate. We are not seeing of course the price increases that we put us on the minus 0.75 or both the size of the book being what it is. We will continue to have discussions with clients. We, most of our clients or corporate clients they are not Motor or model liners. So those discussions are within the global relationship and each client then and it's pretty specific. Regarding the observation on the causality on the reinsurance side, in the U.S. this is just on the observation that is coming from the renewal of June, July, where we've seen that, most of the programs have been renewed with no deterioration and we have seen then the renewal process. As been such that yes, we are quite convinced that when the market is trying to kind of the stock to the year to the deterioration of the terms and conditions, in particularly on the Commission.
Operator: We can now take our next question from [indiscernible] Barclays. Please go ahead.
Unidentified Analyst: Just a follow-up on the pricing question. We saw the industry comments of stronger decline into high single-digits on the June, July renewals, mostly concentrated on U.S. cat. Can you comment across your geographies and what type of components came into your minus 0.5% price decline and where do you see more constructive discussions and where they are less helpful. That's my first question. And the second question is to Paolo. Actually I didn't quite hear your comments on MutRe probably my line was that, maybe you could comment again on the impact of SCOR and what you're expect to came from that acquisition.
Paolo De Martin: I would say that overall was if we take the world I think the difficulties have been definitely around middle Africa and Latin America for the most plus U.S. cat. And U.S. cat was, really [indiscernible] Florida, this is where we have done ourselves quite much strong portfolio managements during the June, July renewals that's what I mentioned in my comments. For the rest of the market. Well, I think the pricing in still on the slight decrease then but we are talking about reduction between 0% and minus 2% and minus 3%. We are no longer talking or really meaningful decrease. So we think that overall, we are in -- for our own portfolio at this in the relatively stable sophistication and we are taking step-by-step, the measures that are required to manage the book when it place to be. And we have done, what we had to in Middle East on this renewal and unfortunately because that scenario of the world where we have a very strong and the story of being a lead market.
Unidentified Analyst: Would you say that overall in the past six months, the situation for you has deteriorated or remain stable on the overall pricing?
Paolo De Martin: We reported minus 0.5% on the weighted average. So whether you call as satisfactory or not, but don't think it is satisfactory and it is marginally negative but with that sort of price decreases, we are able to manage the portfolio whether I see more of positive myself is the attitude of an increasing number of clients, where the discussions are going beyond adjust the existing reinsurance programs and we see a lot of clients having real deep thinking on optimization and capital utilization and probably also financing of business, fluidity of cash flows within their own Groups. And that really prompts discussion that are much more interesting and where a reinsurance company like ourselves, I believe and basically the deals that we're have been doing on a structured contracts are pulling it. I believe that we are among the few that can really entertain that -- the discussions with clients, and that is positive. That allows us to demonstrate differentiation and that's what we need to be. I mean we need to be relevant to clients and we need to be able to demonstrate that we are capable to provide things that others or only a few can provide. Let's say, presumably optimistic on that front of the discussion.
Unidentified Company Representative: Yes. My comments at the beginning of the call are really related to what was -- what were the next steps, what was the next, the agreement has to be rectified by the other shareholders. We expect that to happen as I mentioned during the speech in October 2017 at the latest. And at this point, we would expect the acquisition to close at 1, 2018. Those were my comments or the only words I said on.
Unidentified Analyst : Maybe then you can comment on what made this acquisition attractive for SCOR? And what impact, if anything you would expect to see in the coming years?
Paolo De Martin: The mutual -- [Indiscernible] mutual industries is a very interesting industry and that's why SCOR originally invested in MutRe at the end of the 90's. It worsen at being created where as a shareholder structure, we had anticipated for one third. Some of the other shareholders felt it was a good place for them to be any longer and we still thought business was very interesting for us. So we decided to purchase it. We believe once the business is fully integrated, it would be fully accretive for numbers. It is not massive acquisition, you can see the numbers on MutRe, on MutRe website where you get all details now bit it is. We already pick up some business for retrocession and probably some business will have to be evaluate for us for our own lines in terms of profitability that will happen once the acquisition is.
Operator: We can now take our next question from Paris Hadjiantonis from Credit Suisse. Please go ahead.
Paris Hadjiantonis: I only have two questions. The first one will be on the reorganization of the subsidiary, something that you've talked about in the past. I was wondering if you could actually give us an update about the timing and the level of capital that could be released from this reorganization. And then secondly on the recent weakness of the dollar. I mean, we've seen the impact on shareholders equity through OCI. You've talked a bit about what that could potentially mean for growth going forward. I was wondering if you actually head turn of your FX risk and if you can basically see some kind of offset from the U.S. dollar weakness? Thank you.
Mark Kociancic: Paris on the first part, with respect to the 3 SE merger. So this remains on track. We spoke about this I think couple of quarters ago. So we've identified approximately 200 million of potential excess capital that comes out of that transaction by merging the 3 SE entities that we have in France. It's targeted for completion in the first quarter of 2019. There is a series of steps that we're taking from a legal perspective, operational perspective and client perspective over the next 18 months to secure that we have to work in approximately 48 jurisdictions to secure new licenses, branches and portfolio transfers, which leads to the complexity. However that's simply a timing issue. I think the amount is still good and any kind of decision on that capital level would be made in 2019. On the second piece, the U.S. dollar weakening has had an effect. You can see that we've had almost a 9% decline over the first half of the year. So the currency translation adjustment for the Group was close to minus 300 million for the second quarter. We do hedging of monetary assets and monetary liabilities, but we do not hedge subsidiary capital. Rather we consider that really as a permanent source of capital. And broadly speaking, it matches the underlying business flow from those countries. So we have in the U.S., for example, roughly a commensurate level of capital in U.S. dollars reporting a premium base in U.S. dollars.
Operator: [Operator Instructions] We can now take our next question from William Hawkins from KBW. Please go ahead.
William Hawkins: Mark, I just wanted to check, at the 1Q stage, there was a lot of talk about score being happy at 200% Solvency II ratio. And you were very much wanting to operate within your range. That was -- but I took away last quarter. I don't hear there has been any mention of that this time and most of the discussion has been anchored about how much you are above the top of the range instead. So what's changed in terms of that language? Thank you.
Mark Kociancic: Nothing has changed in the sense of -- we still want to operate in the optimal Solvency range. What we said is that, we would feel more comfortable operating in the 200% to 220% level. And so whether we're at 205%, 215%, those figures are fine, it provides the level of security that our clients expect. It makes our board comfortable with the execution of the plan and so on. It's not that we're targeting 200%. I think we would rather be in the upper part of the range and then deal with capital decisions and growth issues. It certainly gives you more flexibility to be at 220% rather than 200%. But if we did have some sort of event that took us down to 200%, we would be comfortable at that level as well.
William Hawkins: But just to be clear, if we are talking about managing capital, it is not managing capital to get down to the top end of your range. It is managing capital to get into your range.
François de Varenne: Yes. Over the long- term. I would agree with that.
Operator: We can now take our next question from Vinit Malhotra from Mediobanca. Please go ahead.
Vinit Malhotra: One question on the FX and how to better understand it. There are several moving parts. So I appreciate that it might be a tricky question. But I mean right from Solvency, we heard once Frieder say that the dollar strengthening had [indiscernible] today we have heard obviously the FX move on the asset which is maybe 600 million, 700 million or something similar I don't know. Then there is a 12 million hit on the investment income, and then the dependency on the premiums. Mark, have you run a scenario of some sort which is it is helpless to understand, that if the dollar weaken from now or even remains where it is, how much is the hit we should expect? Or how should we estimate in your [suggestion]? Thank you.
Mark Kociancic: I don't think it'll be as material as you might think, largely because of the matching. We do have a slightly more profitability coming from U.S. dollar jurisdictions, because a lot of the corporate overhead is headquartered here in Europe. And so there's a large euro expense base. So you can take sensitivity analysis on FX rates on profitability as really a function of that assuming you have a normal claims distribution, but it's not really that much of a meaningful movement in terms of rising USD or strengthening euro.
Vinit Malhotra: But it was on investment income and in important number or if not all for that?
Mark Kociancic: Yes. I think just to give you some figures. So if we had -- the U.S. dollar is clearly the biggest impact that we have of all the other currencies we deal with. But at 10% movement either direction in the U.S. dollar from a balance sheet perspective is going to give us approximately €350 million impact at this point in time either direction. And on the net income side, you're looking at something similar. So at 35 million FX impact, plus or minus depending on the movement of rate.
Vinit Malhotra: The 35 million for 10% for net income?
Mark Kociancic: Yes, that's right, plus or minus. And annualized.
Vinit Malhotra: Annualized of course. Okay, thank you.
Operator: There are no more questions in this queue. At this time, I will now turn the call back to the host for any remarks.
Denis Kessler: Okay. So thank you very much for attending this conference call. And please be noted any callers should you require any further information, the team is available as usual. Thank you very much and have a nice day.
Ian Kelly: Thanks, Ian. On behalf of the entire Comex, I would like to wish everyone a good summer break. And for those who are taking some vacation, we look forward to seeing you at our Investor Day in Paris on the 6 of September.
Operator: Thank you. That concludes today's conference. Thank you for your participation. You may now disconnect.